Operator: Thank you for standing by. This is the conference operator. Welcome to the AGI Fourth Quarter 2023 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity for analysts to ask questions. [Operator Instructions] I would now like to turn the conference over to Paul Householder, President and CEO of AGI. Please go ahead, sir.
Paul Householder: Thank you, operator. Good morning and welcome to AGI's fourth quarter 2023 results call. I'm joined today by our CFO, Jim Rudyk. I'll start the call with a review of our results, then turn the call to Jim for additional commentary on the quarter. Following our prepared remarks, the call will be open for questions. Before we get into the discussion on our results and other business updates, I'd like to provide a brief update on our progress in enhancing safety across AGI. I'm pleased to announce that 13 of AGI's global facilities have now gone one year without a lost time safety incident. This is a huge achievement for our teams and a considerable improvement compared to just a few short years ago, when we began a structured process to track and improve safety across AGI. Our progress has been supported by a significant and ongoing focus on near-miss activity, paying close attention to both the identification of near-misses as well as corrective actioning. We track our near-miss data on a case-by-case basis and aggregate statistics across AGI. In 2023, we logged nearly 6.5 times more near-miss cases than we did in 2022 and 14 times more than 2021. The company-wide commitment to improving safety is undoubtedly a key part of our culture. Now, turning to our fourth quarter and full year results. Our record fourth quarter results helped to close out another record year for AGI. It has now been four straight years of record results, driven almost entirely by organic growth, overcoming significant and varied challenges across some of the markets we serve. For the fourth quarter, consolidated revenue was up 1%, primarily supported by growth in the Farm segment. Growth was impacted by steel costs generally trending lower year-over-year. Assuming a constant steel pricing environment, our revenue levels would have been approximately 5% higher than prior year, which more clearly highlights our growth and general market share gains. Fourth quarter adjusted EBITDA was up 43% with a margin of 19.3%, representing approximately 570 basis points of expansion year-over-year. Our fourth quarter caps off an exceptional year for AGI, particularly for margins, which finished the full year at 19.3%, a 320 basis point year-over-year improvement from 16.1%. Margin performance for the year was well above our stated objectives, which we walked up throughout the year from 17% initially to 18% and then 18.5%. With another quarter of very strong margin results in hand, we have clearly entered a new era of performance and profitability across the company. AGI has not performed at these margin levels in well over a decade, prior to the strategic move into the Commercial segment and establishing our international footprint. Accounting for our business, product and geographic mix, AGI has never seen profitability at these levels. Our three corporate strategic priorities continue to exceed expectations. For reference, these priorities include profitable organic growth, operational excellence, and balance sheet discipline. A few comments on each of these priorities, which collectively and individually are performing well ahead of our stated objectives. For profitable organic growth, we are encouraged by our KPIs of annual revenue up 5% and adjusted EBITDA up 25%. With 2023 being another year of pure organic growth, we are pleased with our continued success despite areas of regional disruptions and changing macro conditions. Our resilient business model, along with strong fundamental demand for equipment and solutions to protect and move valuable crops continues to drive our results. We see strength across all areas of AGI and I'd like to take a few minutes to highlight three specific areas that will make outsized contributions towards our goal of $2 billion in revenue within our strategic planning horizon. These include product transfers, international and emerging markets, and our growth platforms. I'll provide an update on each with insights on how they will individually contribute to our growth strategy in 2024 and beyond. On product transfers, we have made tremendous strides through 2023. In early February, we issued a press release outlining our progress on the first set of product transfer initiatives, including cumulative orders secured to-date of approximately $55 million. Many of these orders were signed in late 2023 following the completion of manufacturing to sales knowledge transfer activity. Sales in the second half of 2024 will leverage these recent orders as valuable customer reference sites to further stimulate demand, adding to a strong and active pipeline. On international and emerging markets, we continue to see strong demand for our products and solutions in areas outside of North America. In 2023, our international regions combined to surpass $500 million in total revenue. Over the medium term, we are targeting international businesses to contribute 40% to 45% to our total revenue mix. For context, in 2023, it was 34% and just a few short years ago, it was 25%. Over the last three years, the international businesses have collectively grown at a 23% CAGR. A strategic focus on emerging markets such as Africa and Southeast Asia provides an additional tailwind for continued strong international growth. We saw a significant uptake in orders within these emerging markets across the fourth quarter. A focus on international growth, not only helps AGI achieve our overarching revenue objectives, it also strengthens the diversification of our overall business. This diversification has and will continue to be a key differentiator between AGI and many other agriculture industry peers who exhibit a more pronounced susceptibility to agriculture industry cyclicality. Our growth platforms include our Digital, Food, and Feed businesses. Digital and Food went through extensive restructuring efforts in 2023, and we see a strong setup for both in 2024. A few comments on each of these three areas. In 2023, the Digital platform generated positive full year adjusted EBITDA for the first time, an incredible turnaround in a short period. As with all other business units inside AGI, the Digital team has developed a robust and detailed three-year strategic plan to drive growth and expand market share within and outside of our core U.S. market. For our Food platform, investments made in developing the sales team and expanding customer relationships is yielding positive results with the order book up nearly 40% year-over-year. This provides confidence that the Food platform is positioned to deliver a strong rebound in 2024, following a comprehensive restructuring exercise across 2023, which is now nearing completion. Our Feed platform is an area we are quite excited about. In late 2022, we assembled an internal team to develop a vision and strategic plan for AGI to expand into this large and attractive market. The team took notable strides across 2023, primarily growing the sales pipeline and building our brand, reputation, and commercial relationships. In 2024, we expect the Feed platform to deliver incremental growth for AGI. Turning to an update on our next corporate strategic priority, operational excellence, measured with adjusted EBITDA margin as our KPI. Our success in securing margin gains throughout 2023 was a significant driver of our strong overall results. Progress was faster than expected, beating expectations set through multiple guidance increases throughout the year. Consistent and structured cost controls implemented across the entire supply chain as well as the administrative level of the company, delivered a greater than 300 basis points EBITDA margin improvement in a single year. Through sustained focus, disciplined planning, and centralized coordination, we have steadily institutionalized new operational excellence processes and tools. We anticipate sustaining and stabilizing our adjusted EBITDA margin levels in 2024 and going forward. And finally, our balance sheet discipline, corporate strategic priority continues to trend ahead of expectations with our net debt leverage ratio improving to 2.8 times. This level represents nearly a full turn improvement over where we started the year. Through our ability to closely adhere to a deleveraging plan, we are ahead of the 3 times level we targeted by year end and have a clear path to achieving our stated objective of 2.5 times in 2024. We are closely considering options to use some of our balance sheet capacity to implement attractive growth initiatives, such as meaningful capacity expansion in India. Our business in India has doubled since 2019 and generates a company-leading margin profile. With the addition of several product transfers, the growth potential for our business in the world's most populous country is extremely exciting, and we recently acquired land as a site for future expansion. Detailed project planning is still in progress with final approvals targeted in 2024 to support groundbreaking in 2025. Moving on to an overview of our results for the Farm and Commercial segment by region. Overall, fourth quarter farm segment revenue and adjusted EBITDA grew by 4% and 44% respectively year-over-year. I'll provide a few highlights on the performance of our Canadian, U.S., and international regions. Canada Farm segment revenue decreased slightly in the fourth quarter, mostly due to a particularly strong comparable and a record fourth quarter in 2022. For results to stabilize near this record level is quite positive and a strong signal of the strength of this business heading into 2024. U.S. Farm results included revenue growth of 15% year-over-year, which anchored the overall performance of the Global Farm segment in the quarter. Success in launching a revitalized early order program, supported by our centralized revenue management and demand planning teams, helped grow demand for our portable grain handling equipment. Looking ahead to 2024, we continue to monitor market conditions carefully and anticipate dealer replenishment cycles to provide sales momentum into the second quarter. International Farm segment revenue decreased slightly in the fourth quarter. The Asia-Pacific region and more specifically, Australia experienced tight market conditions. Brazil experienced a more challenging market than anticipated with results coming in below expectations. To help further support growth of our Farm business in Brazil, new financing structures have been set up with local partners, which were officially rolled out in early 2024. Overall, the Farm segment order book continues to trend higher year-over-year supporting our optimism heading into 2024. Now, moving on to a review of our Commercial segment. Commercial segment revenue and adjusted EBITDA decreased 1% and increased 17%, respectively, in the fourth quarter. Revenue was driven by a strong result from India, offset by modest pullbacks in other regions. Nearly all regions benefited from expanding margins due to accelerated success in implementing operational excellence initiatives. I'll provide a few highlights on the performance of our Canadian, U.S., and international regions during the quarter. Canadian Commercial segment revenue decreased in the fourth quarter for similar reasons to the Canadian Farm segment, a very strong comparable period. Recall, our fourth quarter 2022 results were up over 120% versus 2021 and set a record level for Canadian Commercial business. There's a clear focus on pipeline and quoting for this business entering 2024. U.S. Commercial revenue was effectively flat in the quarter. While the Food platform order book is recovering nicely, strained year-over-year results in Food offset a solid performance from the grain side of our Commercial business in the U.S. Similar to Canada, there's a clear focus on pipeline and quoting entering 2024. International Commercial revenue was up slightly in the fourth quarter, supported by a 29% increase in India, which continues to be a remarkable growth engine for AGI. Commercial revenues in South America and EMEA were both down slightly due to project timing with specific customer request to delay shipment of completed equipment. The EMEA region continues to secure meaningful long-term project work from emerging markets such as Africa and the Middle East. This success is a reflection of our robust strategic planning efforts and the excellent collaboration we have across our outstanding global teams. Our order book for Commercial is up significantly year-over-year and reflects particular strength in the EMEA region. Given the project-based nature of our Commercial segment business and the timing of the orders, we anticipate an acceleration of Commercial results to be most pronounced in the second half of 2024. Before handing the call over to Jim, I would just like to recap a few key points. 2023 was a tremendous success for AGI. We are tracking well ahead of expectations across all corporate strategic priorities and the respective KPIs we use to monitor progress. With an all-time record order book in hand, up 25% versus prior year, we are well-positioned entering 2024 to build on our series of consecutive record results. Our diversified business model and unique positioning within the agriculture sector sets us up for another strong year at a time when other agricultural sectors are expected to navigate cyclical impacts. AGI will continue to benefit from the growing importance of food security and building a highly functioning and efficient global food supply chain. I'll now hand the call over to Jim.
James Rudyk: Thank you, Paul and good morning everyone. For today's call, I will touch on five areas, including an overview of our disclosure changes, a quick recap of our fourth quarter results, an update on key balance sheet metrics, a few comments on cash flow, and finally, a recap of our outlook for the upcoming year. I'll begin with a few housekeeping items on our disclosure practices, which is an area we continue to refine in order to make our quarterly reporting more clear and helpful. Going forward, we have decided to disclose our total order book on a dollar basis and eliminate the percentage changes by region and segment. This simplified approach should help provide greater context and be more straightforward to track. It's important to highlight that the order book, primarily reflects our activity in the project-based businesses across AGI, which generally have longer, multi-quarter sales, and production cycles. It doesn't fully capture the activity of our catalog-based businesses, which have more rapid sales and production cycles that can often mean order receipt and product delivery occurs within the same quarter. As a result, these would not be captured in our order book disclosure. In general, our project-based businesses are aligned with our Commercial segment and our catalog-based businesses are aligned with our Farm segment. Our new order book disclosure should help provide readers with better clarity on AGI's growth prospects, but it's important to be aware of the nuance that it weighs more towards our Commercial than our Farm business. Another key disclosure change initiated this quarter includes the collapsing of our international subsegments into a single, consolidated international total. We believe that a simplified approach will be more effective in helping readers monitor and understand our strong growth trends across our international businesses collectively which, as Paul described in his opening remarks, is a key growth area for AGI going forward. Now, moving to a quick recap of our fourth quarter results. On a consolidated basis, fourth quarter revenues of $379 million increased 1% over last year's all-time record quarter. The trend in expanding gross margins continued from the previous quarters and combined with ongoing improvements to SG&A cost containment drove approximately 570 basis points of adjusted EBITDA margin expansion. Overall, adjusted EBITDA of $73 million grew 43% in the quarter and clearly demonstrates our ability to capture additional margins on a relatively stable revenue base year-on-year. Our adjusted EBITDA includes approximately $11 million in transactional, transitional and other costs, which are primarily related to various plaintiff-driven legal costs to protect our digital technology, digital restructuring charges, and final adjustments to large one-time warranty claims. In addition, our full year adjusted EBITDA includes expenses related to our multiyear, global ERP transformation project, which we kicked off throughout 2023 after first introducing this initiative at our Investor Day about a year ago. In 2023, we selected an industry-leading partner, progressed through a detailed planning exercise, completed development and testing phases, and now have the first wave of deployment to certain business units underway. This is a project with significant excitement internally that we expect to fundamentally revolutionize our systems, processes and overall business intelligence, accelerating our ability to grow, while effectively reducing costs. Having robust and agile systems is also a key enabler to help us continue to improve our margin profile. Overall, we are in the first year of what we expect to be a three to four-year journey. With AGI having come together through dozens of acquisitions, taking this step to harmonize our systems globally, is a critical step in maturing as an organization and uniting as one AGI. We will provide relevant updates on this project as we move through the process and achieve key milestones. Now, refocusing on our segmented results. Our Farm segment delivered $189 million in revenue, growing 4% year-over-year. Adjusted EBITDA of $47 million grew 44% year-over-year with margins expanding by approximately 675 basis points to 25%. Similar to recent quarters, the margin result was a combination of operational excellence initiatives as well as a product mix tilted towards our portable equipment relative to last year. In the Commercial segment, revenues of $190 million were stable with last year's result. Adjusted EBITDA of $36 million grew 17% year-over-year, with margins increasing roughly 300 basis points to 19%. Similar to Farm, the benefits of our operational excellence initiatives again contributed to the margin increase. Moving on to our balance sheet. We continue to make consistent and meaningful progress on our working capital metrics and key leverage ratios, clear indicators of the structural improvements we are making to how we manage the business. Working capital investment continues to be a key focus across the organization. Our net investment of $188 million in the fourth quarter was up from $169 million year-over-year. On an annualized percentage of sales basis, working capital intensity increased from 11.3% to 12.4% year-over-year. However, this included the impact of the accruals related to the bin incident, which are captured in our provisions line item. Normalizing for this would demonstrate a clear improvement in both our total dollar net working capital investment and as a percentage of sales. Our KPIs for monitoring working capital are trending very favorably for DSI, or days sales and inventory, and we also see some early signs that days payables outstanding are sustaining a positive trend. Managing working capital is a priority, and we continue to strive for further improvement to ensure we can grow the business without an excess working capital drag. That said, as Paul mentioned in his comments, our order book mix is more weighted towards Commercial than it has been in the past with several key project wins beginning to ramp up. As a result, this may require us to temporarily invest strategically in working capital for a few quarters throughout 2024. The overall underlying trend, however, still points to a clear and ongoing improvement. Turning to our balance sheet. We continue to make excellent progress in managing our cash flow and staying disciplined with our credit facility usage. Our net debt leverage ratio decreased to 2.8 times in the quarter. This is a significant improvement from 3.7 times year-over-year and 3.2 times quarter-over-quarter. Importantly, both meaningful debt repayments as well as increasing adjusted EBITDA played a role in the decrease to our leverage ratio. This is the first time AGI has had this ratio under 3 times in nearly 10 years and is an important achievement, especially in lieu of the impact that the large, one-time warranty payment made in the third quarter. We are well on track to reach our stated objective of 2.5 times in 2024. Connected to our success in managing the balance sheet and working down our debt position is our progress on managing our cash flow. Funds from operations in the quarter of $47 million were up from $27 million year-over-year, an increase of roughly 70%. Funds from operations as a percentage of adjusted EBITDA continues to trend higher, indicative of improving conversion of adjusted EBITDA into cash flow. And finally, turning to our outlook. Given the combination of an all-time record order book and our expectation to sustain our adjusted EBITDA margin gains from 2023, we anticipate full year 2024 adjusted EBITDA to be at least $310 million. In terms of margin levels on a go-forward basis, we expect our margin levels to stabilize around these new levels in the 19% range. Of the roughly 300 basis points of year-on-year improvement in our full year adjusted EBITDA margin from 2023, we believe at least 200 basis points of that is structural and fully attributable to operational excellence initiatives with another 100 basis points due to the higher mix of portable grain handling equipment in 2023. In 2024, we anticipate some further incremental operational excellence gains to accrue to margins, owing to the annualization of activities completed mid-year, in addition to the benefits of some new initiatives. This will be offset by a shift in mix towards Commercial, which is typically lower margin than Farm. Net-net, at this stage, we expect our adjusted EBITDA margins to stabilize in the 19% range for the full year. One final comment on our 2024 outlook as it relates to the quarterly cadence of our results. Given the project-based nature of our strengthening Commercial segment order book and the timing of these orders, we anticipate a gradual ramp-up of our 2024 results, gathering momentum as the year progresses. Thank you, operator, and we will now open up the call for questions.
Operator: Thank you. We will now begin the analysts question-and-answer session. [Operator Instructions] The first question comes from Jacob Bout of CIBC. Please go ahead.
Jacob Bout: Good morning.
Paul Householder: How are you doing, Jacob?
Jacob Bout: Good. So, the messaging for 2024 is the stabilization of margins and you're guiding to EBITDA of close to 6%. So, I guess the simple math here is revenue growth should be similar to that 6% in 2024. When do you pivot to more towards more M&A or more substantial capital investment? Is that primarily kind of 2025, I know you talked a bit about some of the work you're looking at in India? And then if you look at the growth in 2023 and some -- it looks like it's going to be similar in 2024, still down from what we saw the previous two years, we're kind of in that 20% to 25% revenue growth. What would it take to get back to some of those growth rates?
Paul Householder: Yes. Thanks Jacob. Thanks for those great questions. Yes. So, we're very pleased with how 2023 shaped up. And to your point, the progress that we have made from a balance sheet standpoint and getting that leverage ratio down, as you suggest, Jacob, this does set us up quite nicely to now pivot and start looking at favorable uses for that positive cash generation. And we would probably turn towards making capital investments that support continued organic growth as our priority. We've been evaluating a number of exciting options that we have for capital investments to support growth. Obviously, India is a key area of focus. Certain aspects of our North America business are very attractive for strategic investment as well as other international areas, such as Brazil. Our priority will be India. That looks to be the most near-term or presenting the most near-term opportunities. We've made some investments there as we noted, the procurement of some land. That will set us up to move forward with a more pronounced investment. Maybe starting, Jacob, it's a tail end of 2024, but to your point, more pronounced in 2025. So, yes, we will be biasing our cash flow generation to support investments in organic growth. Now, from a growth story, to the second half of your question, acknowledging the nice performance we had in 2023, up 5% and our early guidance for 2024, we remain quite optimistic on our growth opportunities and really supported by those three areas that we highlighted being product transfers, emerging markets, and our growth platforms. Tremendous progress across all three of these in 2023 that are providing a nice tailwind for us from a growth standpoint in 2024. And the outlook across all three of those is encouraging, which would only lead us to expect that, that trend -- that favorable trend is going to continue. So, we'll see how the full year of 2024 shapes up, but we certainly are pivoting more attention to growth with the expectation that strong growth will continue in 2024 and beyond.
Jacob Bout: Great. And then maybe just more of an accounting question here, but this adjusted EBITDA you had at about [ph] $14 million of the ERP transformational costs. What was this and can we expect to see further adjustments?
James Rudyk: Yes. Good morning Jacob, it's Jim. So, that $14 million relates to our investment in the implementation of one ERP solution around the globe. Something we noted, in fact, in our Investor Day where we talked about one of the opportunities as we work to integrate operations around the globe, over 30 facilities we have in different systems. It's an investment that we're excited about. We think we'll deliver significant benefits. Traditionally, these costs would be capitalized, but because our approach will be more of a cloud-based solution, Software-as-a-Service solution, what happens now from an accounting perspective is the development costs are now expensed versus capitalized. So, no change from a cash flow perspective from how we thought about our investments over the next few years. It's just more an accounting nuance where instead of capitalizing, they now become expensed. The total project that we're embarking on, just to round out the discussion on the ERP will be over the next three to four years. And so from a cost perspective, what you saw in 2023 is approximately what you'll see for the next couple of years as we round out and finish our deployments around the world.
Jacob Bout: Thank you.
Operator: The next question comes from Michael Doumet of Scotiabank. Please go ahead.
Michael Doumet: Hey good morning guys.
Paul Householder: How are you doing Michael?
Michael Doumet: Very good. Great quarter, great guide. Look any way you can break out at a high level how we should think about expectations for the first half of 2024 versus in second half? And obviously, I've noted the comments on the timing of the Commercial order book being more pronounced in the second half. But I just wanted to make sure that I understood what was expected in the first half as well?
Paul Householder: Yes. No, thanks for the question, Michael. I mean as you know, when you look at our results, we typically have shoulders for the year being Q1 and Q4, with Q2 and Q3 then being the quarters in which we exhibit our strongest results. That's kind of been our traditional pattern over the last several years. It's largely going to follow that pattern with a little bit of a shift and bias towards the second half. So, we expect Q3 to be quite strong as well as Q4 and that shift to the second half is largely due to the commercial projects, the increase in our order book from a commercial standpoint as well as the timing of when those orders did come in. So, specifically, when you look at the first half, Michael, we do expect to show positive growth in the first half of the year compared to the first half of prior year, and then just a more pronounced performance in the second half of the year.
Michael Doumet: Very helpful. And then turning to your press release in February on the product transfers and what you highlighted as the order book is $55 million. I believe some of those sales or more of those sales are going to materialize again in the second half. At your Investor Day, you highlighted product transfers as amounting potentially to several billion in sales over the long, long run. But now that the ball is rolling, any way you can provide us maybe some details of the cadence of the annual contribution you'd like to see in 2024 and 2025?
Paul Householder: Yes. Terrific, terrific question, Michael. Thank you for that. And yes, when we did our Investor Day, we were -- that's when we initially outlined our strategy on product transfers, and we articulated that as we move forward with these product transfers, it opened up a fairly large amenable market, which was several billion dollars. And then our target would be to move towards a 20% market share in that area. So, we feel very good about the progress that we made in 2023. It's really our strategy coming towards fulfillment. We're starting to see the positive results very much in line, if not slightly ahead of expectations. So, starting this year, with $55 million or above that in our order book is terrific. You kind of put that into context, you can start to see year-on-year the percentage contribution of product transfers to our growth. So, we expect that product transfers in 2024 will contribute substantial performance to our year-on-year growth. And we expect then, Michael, that momentum to continue in 2025 and in 2026. So, just as you recall, the gains that we're making right now are largely driven from our initial set of five product transfers. And those product transfers, we executed a lot of the groundwork across 2023 that are setting us up for this performance in 2024. So, in 2024, our focus is largely going to be from an execution standpoint, ensuring that we successfully deliver across that order book and provide positive momentum for each of those five transfers. But we have more opportunity going forward. There's other product transfers that we will initiate in 2024 that will provide additional benefits heading into 2025 and beyond. So, this will continue to be -- we're optimistic, it's going to continue to be a notable contributor to our growth going forward.
Michael Doumet: Very helpful. Thanks Paul.
Paul Householder: You got it Michael.
James Rudyk: Thanks Michael.
Operator: The next question comes from Gary Ho of Desjardins Capital Markets. Please go ahead.
Gary Ho: Thanks. Good morning. As it relates to your order book -- thanks for providing the absolute dollar, that's helpful. Typical duration, I think, historically, is in that four to six months, but you mentioned a larger tilt to Commercial projects. So, how should we think about the duration of that book now? And you talked about the order book kind of reflecting more of your Commercial book. So, can we take that to assume kind of 50% to 70% of that order book relates to Commercial? Maybe just give us some color around that, that would be great.
Paul Householder: Great questions, Gary. Thanks for that. Yes, we're very encouraged with our order book. It's fantastic to be heading into the year with an all-time record order book up 25% over prior year. You're absolutely right, Gary. Typically, our order book would give us pretty good guidance out four to six months. And a typical order book would be slightly weighted to Farm, very consistent with our overall global footprint Farm versus Commercial. We entered this year, there's a notable shift towards commercial based on a lot of product transfer work that we've done, our focus on emerging markets and other drivers. So, that, as you know, in reference, will push out our -- or extend the timing of our order book. So, just rough order of magnitude instead of four to six months, you could think of five to seven months visibility from the order book. Just kind of order of magnitude. But certainly, the Commercial projects are longer in duration compared to Farm. So, it does lead to an extension of the timing of that order book.
Gary Ho: Okay, that's helpful. And then I want to turn the next question to aftermarket parts and service. I think that's the driver why your India operation has leading company-wide margins. Maybe just give us an update on expanding that segment across other geographies, maybe this year or into 2025?
Paul Householder: Yes. Terrific, Gary. And you're absolutely right, we have a terrific India business, predominantly focused on rice milling and with that comes the opportunity for us to really support our customers from an excellence in service and parts standpoint, which the team does a tremendous job doing. So, when you look at that business down in India, our parts and service trends, like around 9% to 10% of revenue significantly well above where we are corporate or company-wide, thus leads us to focus on that area as an opportunity to drive growth across the rest of our business. Just as a quick update there. We have now established a North America parts and service team based in our U.S. center outside of Chicago, we've got a lot of positive momentum already in place. We expect that we will see an uptick in our service and parts performance within North America across 2024. So, we do think this is yet another tailwind to growth that will start taking shape in 2024 and then continue to gain momentum into 2025.
Gary Ho: Okay, perfect. Those were my two.
Paul Householder: Thanks Gary.
Operator: The next question comes from Andrew Wong of RBC Capital Markets. Please go ahead.
Andrew Wong: Hey good morning. Thanks for taking my questions. So, as your leverage declines and you have more options on capital deployment, I understand you're looking at some good growth opportunities. But I'm curious on your thoughts on potential buybacks given where your shares trade today?
Paul Householder: Yes. Thanks Andrew. And yes, similar to some previous comments, we're really excited about the progress that we've made in improving our balance sheet and that does put us in a position where we can start to look for other uses of that positive cash flow generation. There's obviously a lot of options that we have and we prioritize those options accordingly. Right now, our priority is on investing back into the business to help drive and support further organic growth. That is our priority at this point in time. Buying back shares is not a priority at this point in time. So, we'll focus on the investment opportunities that the team has been doing an excellent job developing over the past 12 to 18 months.
Andrew Wong: Okay. Thanks. And then maybe just -- maybe a broader question. As you kind of look back over the past 12, 18 months, as you've gone on this path of operational excellence, there's obviously been a lot of great progress. Kind of curious where you'd say some of the areas have gone really well and maybe better than expected. And what areas maybe haven't played out yet or are taking longer to realize some of that potential?
Paul Householder: Super question, Andrew. Yes, the operational excellence as we highlighted has certainly been a tremendous success for us. There's a number of areas in that focus initiative that have exceeded expectations. I'll highlight just three of them here. There's others. I don't mean to leave any out. We've made tremendous progress from a revenue management standpoint, and that's looking at pricing, pricing versus volume, just a much more tactical and analytical approach to running our business. Terrific strides in that area, extensive focus on product quality as a means of driving lower warranty expenses. So, significant improvements in our product quality, delivering highest quality products to our customers and that has produced an extremely favorable result in terms of lower warranty expenses year-on-year. And then the third one, Andrew, that I'll highlight is supply chain. We've just done a terrific job in strengthening the relationships with our key and strategic suppliers globally moving towards more of a consolidated approach to our procurement efforts and net-net, getting to a more favorable position from an input cost standpoint. Those will be three areas that have performed extremely well. We do expect that there's additional opportunities for us to drive operational excellence performance. Manufacturing is an area that we saw good progress in 2023, and we think that will accelerate in 2024. And then just focusing more long-term, I'll build on comments that Jim made, we're very optimistic about the ERP platform, the initiatives that we're moving forward to move towards a more common systems globally. We see that as an opportunity to not only support tremendous growth and our growth expectations, but also continued on driving to more efficient operations.
Andrew Wong: That’s great. That’s really good detail. Thank you.
Paul Householder: You got it, Andrew.
Operator: The next question comes from Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thank you. Good morning.
Paul Householder: Hey good morning Michael.
Michael Tupholme: First question is, I guess, just about sort of the breakdown between Commercial and Farm and how we should think about that. So, there's obviously been a lot of talk on the call about the strength of the Commercial order book. As you move through the year, I wonder if you can just sort of talk about that mix between Farm versus Commercial? And I guess, specifically, to what extent you would expect Farm revenues to be up this year?
Paul Householder: Yes. Great question, Michael. So, we're certainly optimistic on our Farm business heading into 2024. And no doubt about that, our Farm order book is up over prior year. We see good -- potential, good optimism, particularly in North America right now across our Canada and U.S. Farm business that they're entering 2024 with a lot of momentum and strength supported by the order book. We do have some softness as we noted, in our Global Farm business, notably Brazil and Australia. But those are two fantastic regions, fantastic markets. We're highly confident in their longer-term performance, but likely some softness in those areas, at least at the initial part of 2024. So, net-net, Farm is going to perform well in 2024. It will be favorable to 2023. Our Commercial area is entering 2024 with a lot of strength, supported by an extremely large backlog. So, we do -- where we sit today that the Commercial is going to perform extremely well in 2024. Again, that's been supported by a lot of the strategic moves that we've made around product transfers and emerging markets. So, if you look at how the year is going to unfold, it will probably look like a pretty similar year in terms of Farm versus Commercial mix in the first half and then a more pronounced shift towards Commercial in the second half of the year.
Michael Tupholme: Great. That's all very helpful. Thank you. Second question, just about the -- you mentioned potential capacity additions in India, wondering if you can comment more broadly on capacity utilization across the organization? And the timing and magnitude of necessary investments, not only in India, but potentially in other areas as well?
Paul Householder: Yes, terrific, Michael. Yes, so let's start with India. The business there has just been fantastic. It's doubled over the past three, four years, had another tremendous year in 2023. It's very right for us to -- and easy for us to justify investments in that area. And I'll note that our investment absolutely is going to support us from a capacity standpoint. It's also going to make tremendous strides from a capability standpoint. It provides us now an opportunity to get more efficient manufacturing processes in place to support the product transfers that we've made down into India, notably the bins and the portable equipment. And then soon after that, we're going to transfer down material handling to support our bin activity. So, as we make an investment -- move forward with that investment in India, we get to really set up our manufacturing facilities to be best-in-class with those new products as well as supporting capacity expansion for our core rice milling, very exciting opportunity there. When you shift and you look at capacity across the rest of the organization, we're largely in a good position now. The capacity that we have supports our near-term growth expectations. We'll continue to make ongoing CapEx investment, more incremental CapEx investments to support growth just looks more like debottlenecking certain aspects of our manufacturing facility that become pinch points as we continue to grow. But net-net, we're in a good position on capacity across the rest of the organization. Other strategic investments to support capacity would be evaluated more, I would say, mid to tail end of 2025 and then going forward.
Michael Tupholme: Perfect. Thank you.
Operator: The next question comes from Tim Monachello of ATB Capital Markets. Please go ahead.
Tim Monachello: Hey, good morning everyone.
Paul Householder: How are you doing Tim?
James Rudyk: Hi Tim.
Tim Monachello: Doing great. First question, you mentioned the planning horizon getting to $2 billion of revenue. Can you remind us what that timeline looks like? When do you think you'll get there?
Paul Householder: Yes. Thanks Tim. So, again, we've never given a specific date. We just articulate it in terms of it falls within our planning horizon, which is typically three years. So, where are we today in our ambitions to getting to $2 billion, I think, falls within that two to three-year timeframe.
Tim Monachello: Okay, got it. Then also looking a little bit longer term. 2024 in terms of margin sounds like you've got obviously some structural tailwinds meeting some headwinds in terms of mix and contribution. Those structural tailwinds, I imagine, would have gained some momentum in 2024 and into 2025. Where do you think the margin could get to on a normalized basis over your planning horizon as well?
Paul Householder: Yes, thanks for that question, Tim. So, I think Jim did a fantastic job outlining this at the beginning, but I'll expand on some of these points. So, obviously, across 2023, we feel our operational excellence initiatives structurally added 200 basis points, and then we had 100 basis points of favorable mix order of magnitude. 2024, we anticipate a mix headwind with the shift to commercial, but continued gains from an operational excellence standpoint with the net-net expectation of holding us in that 19% range. As you look outward, even beyond 2024 on where margins could go, I think of how you could look at this is stability around 19% and then perhaps a movement from that based on mix. So, if we're -- if and as we stabilize margins around 19% and then in 2025, we have a tailwind to mix, then that could lead to some opportunity.
Tim Monachello: Okay, got it. And I guess I'll sneak one more in. It sounds like you're going to be able to shift towards growth beginning in the back half of 2014, but a lot of those investments won't be until 2025. So, how should we think about CapEx on a year-over-year basis in 2024 versus 2023?
James Rudyk: Yes, hi Tim. So, if you look at 2023 from a CapEx perspective, when you look at the numbers there, you'll see we spent about $57 million on what we call, so the CapEx numbers will include maintenance CapEx, growth CapEx and intangibles. $57 million and that $57 million included $11 million for the land purchase in India. In addition to that, we had advance or ERP -- sorry, the ERP implementation, which would take us to about $70 million we spent in 2023. When you look forward in 2024, we will continue to invest in the India expansion as that gets built out over the next several years, the ERP implementation will continue. And so I would expect CapEx in 2024 to be in the range of the $70 million to $90 million mark, depending on timing of when things fall into place. But that's the magnitude you can expect in 2024.
Tim Monachello: Okay. So, $70 million to 90 million, including ERP implementation, which will actually end up being expensed?
James Rudyk: Yes, I still view that as an investment. I mean I know we account for it as an expense, but I still view that as an investment.
Tim Monachello: Fair enough. I just want to make sure we're talking the same language. I appreciate it. Thanks guys.
James Rudyk: Thanks.
Operator: [Operator Instructions] Next question comes from Maxim Sytchev of National Bank Financial. Please go ahead.
Maxim Sytchev: Hi good morning gentlemen.
Paul Householder: How are you doing Max?
Maxim Sytchev: Very good. Thank you very much. Most questions have been asked, but I just wanted to have a couple of cleanups. In terms of the $3.6 million of rework, so is that sort of the absolute tail end? And how should we think about this cost on a going-forward basis? Thanks.
James Rudyk: Yes, that's exactly right how you should be thinking about it. That's the end of the work that we needed to do for the structure rework related to the site out West. And so you should not expect to see any of those costs going forward.
Maxim Sytchev: Okay. Okay, that's great. And then I guess when we sort of brought a question, when we look at some of the bigger players in the ag space, obviously, telegraphing much more sort of sour 2024, your outlook is much better. Do you mind maybe kind of giving us like one, two buckets where AFN is seeing sort of the biggest difference so that maybe investors can better understand why that's the case? Thanks.
Paul Householder: Yes. Thanks for that question, Max. Yes, we feel pretty excited with how we're entering 2024 both on an absolute basis as well as a relative basis as you point out, some other things that are going on in the ag industry. We think that the resilient business that we have built that is grounded in a fair amount of diversification provides that opportunity to overcome some tailwinds that might be occurring in specific ag market. So, I think it really comes down to that diversification. And when you peel that onion a little bit more, Max, there's three areas of diversification that we think particularly adds strength to our business and the respective resiliency. And that is the diversification by market segment. And what we mean by that is the split between Farm and Commercial. That's the one that is clearly jumping out here in 2024. So, you -- we do expect a favorable Farm growth year-on-year, overcoming some pockets of weakness that we see globally. But it's that Commercial that is really coming on strong that is more focused on an infrastructure build-out of the food capabilities globally and that diversification, providing a strong growth tailwind heading into 2024. So, that Farm versus Commercial, very positive from a diversification and resiliency standpoint. Second level of diversification is region. So, we are -- have strong positions in nearly all major ag markets globally. What this tends to position us well for is as there's some challenging conditions in one region that's typically offset by favorable conditions in another. So, it's a little bit, at least from our perspective of balloons we use and headwinds in one region translate into tail regions in other regions and other parts of our business. So, that regional diversification helps us out quite a lot. And then the third one is just in our product portfolio, we have a very comprehensive product portfolio, aiming to bring unique solutions to our customers globally. That diversification often leads to a pretty steady net-net demand for our products in bringing those solutions to our outstanding customers globally. So, lots of different areas of diversification and the accumulation of that puts us in a very strong position to continue to grow despite challenging conditions globally.
Maxim Sytchev: Yes. Okay, excellent. And then one quick one for you guys. In terms of ERP implementation because we're seeing sometimes companies have issues with collections and things like that when they implement these things. So, I presume, you're going to be rolling this out and kind of testing it as you go. That's the plan, right?
James Rudyk: Yes, and that's part of the reason why it will take a number of years to roll this out. We're very conscientious of managing the risk as we go through this. And so an extreme amount of caution and care has been taken and governance put into the project to ensure that as we do the deployments, A, the deployments are limited to manageable, smaller bites until we prove our way through the deployments. And then B, for each of those deployments, we put in place the right approach and resource to ensure that none of those challenges that traditionally have haunted companies in the past will occur. And you can't necessarily anticipate everything to go perfectly. But what we have done is set up the right governance model to ensure that we've got the teams and approaches in place to make sure we do the right testing and that we have the right reaction should something go wrong that we can react very quickly. So, that's how we're managing -- or planning to govern and manage the project.
Maxim Sytchev: Okay, that’s clear. Thank you so much. That’s it for me.
Paul Householder: Thanks Max.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Paul Householder for any closing remarks.
Paul Householder: Yes. Thanks very much. Appreciate all the participation in the call this morning. Just to wrap it up, a thanks to our outstanding customers and shareholders globally for all the support across another very successful 2023 and sincere thanks and congratulations to the outstanding AGI team for all their efforts and achievements this past year. Thanks very much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.